Tony Righetti: Good afternoon, and thank you for joining us to discuss PagerDuty's Third Quarter Fiscal Year 2025 Results. With me on today's call are Jennifer Tejada, PagerDuty's Chairperson and Chief Executive Officer; and Howard Wilson, our Chief Financial Officer. Before we begin, let me remind everyone that statements made on this call include forward-looking statements based on the environment as we currently see it, which involve known and unknown risks and uncertainties that may cause our actual results, performance, or achievements to be materially different from those expressed or implied by the forward-looking statements. These forward-looking statements include our growth prospects, future revenue, operating margins, net income, cash balance, and total addressable market, among others, and represent our management's belief and assumptions only as of the date such statements are made and we undertake no obligation to update these. During today's call, we will discuss non-GAAP financial measures which are in addition to, and not a substitute for, or superior to, measures of financial performance prepared in accordance with GAAP. A reconciliation between GAAP and non-GAAP financial measures is available in our earnings release. Further information on these and other factors that could cause the company's financial results to differ materially are included in filings we make with the Securities and Exchange Commission, including our most recently filed Form 10-K/A, as well as our subsequent filings made with the SEC. With that, I will turn the call over to Jennifer.
Jennifer Tejada: Thank you, Tony. Good afternoon, and thanks for joining us today. PagerDuty delivered a solid quarter with revenue and non-GAAP operating income well above our guidance ranges. Revenue growth increased to 9% and non-GAAP operating margin expanded to 21%. Net new ARR of $9 million in the quarter was a 21% increase over Q3 of last year. Total annual recurring revenue increased to $483 million, growing 10% year-over-year for the fourth consecutive quarter. We were pleased to see stabilization across all segments in the quarter, with retention improving across the board. That said, we remain focused on growth reacceleration and there is room for improvement, particularly on large deal conversions. We had an unusual number of large Q3 opportunities defer, and while they are not lost, these will delay ARR acceleration to FY '26. Nonetheless, we are encouraged by improvements in several key indicators, including dollar-based net retention, multi-product adoption, enterprise contract duration, and total pipeline growth. Converting these multi-year, multi-product agreements is a top priority as the benefits compound in future quarters and represent the manifestation of our customers aligning with us on a joint vision for a more resilient future over a longer commitment period. The comprehensive agreements we secured earlier in the year laid the foundation for sequential improvements in both Enterprise and Commercial gross retention, leading to dollar-based net retention of 107%. As our ramped capacity has increased throughout the year, the number of accounts with ARR greater than $500,000 has risen by approximately 20%, driven by product up-sell and cross-sell. In Q3, AIOps, Automation, and Customer Service Ops contributed more than 40% to incremental ARR. In October, Forrester quantified the monetary benefits of the Operations Cloud through research with our enterprise customers. As more enterprises adopt multiple products across the broader platform, they realize an average return on investment of nearly 250% over three years, with a payback period of less than one year. This adoption enables enterprises to achieve high availability and significant financial returns. Product Development during the quarter continued to deliver innovation across the platform, further enhancing the value customers realize from the Operations Cloud. We are addressing several CIO imperatives, including incident management transformation, operations center modernization, and automation standardization. PagerDuty Advance, our generative AI offering, is now integrated across the platform to automate triage, expedite incident response, summarize communications, and reduce the cost and time to take action. Our generative AI assistant leverages an extensive proprietary data model along with the context of an incident lifecycle to make recommendations and answer common questions. This new unified chat experience with PagerDuty Advance built-in, enables teams to manage an entire incident from within Slack or Microsoft Teams. It was encouraging in the quarter to close our first paid PagerDuty Advance customers. Our new version of the Operations Console supports operations center modernization by providing comprehensive visibility, which minimizes context-switching and enhances focus. The latest version of Global Intelligent Alert Grouping is generating significant interest by leveraging neural networks to deliver heightened precision, effectively isolating signals and accelerating resolution. Recognizing that many of our largest customers are investing in automation standardization, we expanded our automation library in Q3. This includes more templates and workflows, as well as runbooks that automate common dev and IT activities. These enhancements address manual, repetitive, and time-consuming tasks such as consolidating log diagnostics, container management, and database management. Industry analysts continue to recognize our product leadership as our customers adopt new and existing capabilities of the Operations Cloud, especially AIOps. Recently, we were included among the top 25 solutions in Forrester's AIOps Landscape report, and GigaOm named PagerDuty a Leader for the third consecutive year in its annual GigaOm Radar for AIOps. AIOps and automation are vital as data-driven decision-making and advanced analytics set a new standard for operations. These trends are accelerating the pace and precision of corrective actions in IT while paving the way for long-term, preventive solutions. The Enterprise segment continued to grow above the average with particular strength in our core verticals Software and Technology, Financial Services, and Telecommunications. From a geographic perspective, EMEA is emerging as a source of stability that we believe is building a foundation for higher growth in FY '26. Customers within our high-value segments continued a consistent trend of six-figure expansions during the quarter. For example, a leading digital travel company strengthened its partnership with PagerDuty through a multi-year renewal and expansion agreement. This renewal strengthens the long-term strategic partnership, allowing both organizations to continue collaborating effectively. The company leverages the Operations Cloud for scaled service ownership, aligning with its 'build it and own it' culture. A top-tier financial services firm also expanded its relationship with PagerDuty, selecting us as its incident response platform. Our unique ability to support both central and distributed teams elevated PagerDuty to become their preferred platform. This marks the sixth expansion in five years, with the organization increasing users by nearly 3 times over this period. Continuing to lead through innovation, a cybersecurity firm has expanded its use of PagerDuty twice in the last 12 months, integrating products such as AIOps, Incident Management, and Customer Service to transform their incident management workflow. The decision to standardize on PagerDuty was driven by the need to prevent and reduce outages, provide quicker customer updates, and increase operational resilience. By moving away from multiple tools and manual processes, our customer has standardized their resolution process, resulting in reduced operational costs, improved efficiency, and a risk reduction to the overall business. During the quarter, we welcomed two new leaders to PagerDuty: Rukmini Reddy, SVP of Engineering, and Pritesh Parekh, Chief Information Security Officer. Rukmini brings a wealth of experience, most recently as the SVP of Engineering at Slack for the past four-plus years. Pritesh joins us from Delphix, where he was the Chief Trust & Security Officer and SVP of Engineering. Their contributions will enable us to continue positioning the Operations Cloud as a strategic asset for all our customers. Fortune's Best Workplaces recognized us as a top 25 company for Women in their small and medium designation. We also continue to make progress with impact customers, with over 500 from the non-profit sector as of Q3. And we received validation from the Science Based Targets initiative for our commitments to reduce our operational and supply-chain carbon emissions. We are well-positioned to exit FY '25 with ARR growth poised for reacceleration, supported by rising retention, high-caliber sales hiring, and a robust pipeline. Following several quarters of stability, our primary focus is to deliver strong fourth quarter net-new ARR and to carry this momentum into FY '26. I look forward to seeing many of you at AWS ReInvent next week, where I will be speaking during Matt Garman's keynote about our longstanding partnership and co-innovation. I want to thank our shareholders, customers, partners and employees for their continued support. With that, I'll turn the call to Howard and look forward to your questions.
Howard Wilson: Thank you, Jenn, and good day to everyone joining us on this afternoon's call. Unless otherwise stated, all references to our expenses and operating results are on a non-GAAP basis and are reconciled to our GAAP results in the earnings release that was posted before the call. In the third quarter, we continued to solidify our Enterprise motion and stabilize the contribution from our Commercial segment. This success, along with strong operating margin expansion and improved visibility from building a robust Q4 pipeline, were key highlights for the quarter. Revenue for the quarter was $119 million, up 9% year-over-year. The contribution from international was 28% of total revenues, up from 27% in the year ago period. Annual recurring revenue exiting Q3 grew 10% year-over-year to $483 million. We anticipate a similar growth rate in Q4, slightly below the 11% rate we had been tracking toward. As our business becomes increasingly focused on the Enterprise segment, we continue to learn and adjust our expectations regarding typical seasonality. Our precision in handling large deals is improving as Enterprise momentum builds. We delivered 107% dollar-based net retention, above our Q3 expectation and in line with our expectation for the full fiscal year. Similar to last quarter, Enterprise DBNR remained 10 points above our Commercial segment. Customers spending over $100,000 in annual recurring revenue grew to 825, up 6% from a year ago. Total paid customers remained relatively flat year-over-year at 15,050 as growth in Enterprise was offset by a modest decline in the number of Commercial accounts. Free and paid companies on our platform grew to over 30,000, an increase of approximately 11% compared to Q3 of last year. Q3 gross margin was 86%, at the high end of our 84% to 86% target range. Operating income was $25 million or 21% of revenue, compared to $15 million or 14% of revenue in the same quarter last year. The outperformance relative to our guidance was driven by delays in headcount starts, and timing of marketing and consulting expenses. In terms of cash flow for the quarter, cash from operations was $22 million, or 19% of revenue, and free cash flow was $19 million, or 16% of revenue. We continue to expect free cash flow margin for the full fiscal year to be ahead of our operating margin by a couple of percentage points. Turning to the balance sheet, we ended the quarter with $542 million in cash, cash equivalents and investments. In Q3, we repurchased 3.8 million shares from our $100 million repurchase plan, and at the end of the quarter, $1.5 million of the total amount authorized to be repurchased remained available. On a trailing 12-months basis, billings were $478 million, an increase of 9% compared to a year ago, slightly below our 10% target. With respect to Q4, we anticipate trailing 12-months billings growth to be approximately 9%. At the end of Q3, total RPO was approximately $405 million. Of this amount, approximately $278 million, or 69%, is expected to be recognized over the next 12 months. As a reminder, as of FY '25, our RPO disclosure includes contracts with an original term of less than 12 months. Applying the current definition to the year ago period, total RPO increased 35% on a like-for-like basis over Q3 FY '24, which would have been $298 million. Turning to our guidance. For the fourth quarter fiscal 2025, we expect revenue in the range of $118.5 million to $120.5 million, representing a growth rate of 7% to 8%. And net income per diluted share attributable to PagerDuty, Inc. in the range of $0.15 to $0.16. This implies an operating margin of 13%. For the full fiscal year 2025, we are raising the midpoint of revenue with an updated range of $464.5 million to $466.5 million, representing a growth rate of 8%. This compares to the range previously provided of $463 million to $467 million. And we are increasing our expectation for net income per diluted share attributable to PagerDuty, Inc. to $0.78 to $0.79. This implies an operating margin of 16% and compares to our prior guide of $0.67 to $0.72 and 14%, respectively. Reflecting on the year so far, we have stabilized ARR growth at 10%, maintained steady DBNR, and moderated growth headwinds in the Commercial segment. Additionally, we have significantly expanded our operating margins while continuing to mature and grow our Enterprise pipeline. Exiting the year with a 10% ARR growth rate provides a strong foundation for the upcoming fiscal year. With that, I will open up the call for Q&A. Josh, are you going to queue our...
Operator: Excuse me, folk. Yes, of course. Here we are in our Q&A. Sanjit Singh, we're going to start with you. If you can go ahead and unmute, please?
Sanjit Singh: Yeah. Can you hear me?
Jennifer Tejada: Yes, we can. Hi, Sanjit.
Howard Wilson: We can hear you, Sanjit. Yeah, hi.
Sanjit Singh: Good to hear from you again. Sorry, I'm not sure why the video isn't working. Give me one sec. Okay. Hopefully, that's better. Jenn, when we think about like how the year has trended, and we were sort of expecting acceleration in the back half. If you look at the broader ecosystem, whether we call it the DevOps ecosystem or look at what some of the observability players, none of them are accelerating, but they all seem to be talking about, when it comes to seat expansion, stable quarter-on-quarter trends. If you get the hyperscalers all growing solidly in the double digits. Observability guys growing in the double digits. The DevOps platforms growing solidly in the double digits. And so, when you think about like why we're still sort of, at least, in revenue, high-single-digit territory and ARR on 10%, what do you think is the disconnect there with where you guys are playing versus some of the adjacent markets that you guys are pretty close to?
Jennifer Tejada: Yeah. Well, thanks for the question, Sanjit. I mean, first of all, I would say, there were a lot of positives in the quarter. We did see stabilization across all segments, including Commercial, which has historically been a bit of a headwind. We saw improved dollar-based net retention and strong transaction volume in our $100,000-plus cohort. And Enterprise, I'll just remind you, is continuing to grow well above the average growth. Customers who spend more than $500,000 grew over 20 -- sorry, grew 20% and in the quarter. The verticals in Enterprise, tech, financial services and telco, were also very strong. And we continue to see competitive win rates be very good. I would say, in this quarter, the one area where I would like to see improvement in the future is large deal conversion. So, unlike many of the past quarters, we saw a handful of large deals push. They are not lost, but they did defer, which defers some of that reacceleration. But having said that, I think you really need to look at the Enterprise business and see how that's growing as Commercial becomes less and less of a headwind to the business. And we were pleased to see that segment stabilize this quarter and even returned to growth.
Sanjit Singh: No, that's -- I appreciate the context. I want to talk a little bit about PagerDuty Advance. I know it's super early, but if you could just sort of lay out like the sort of customer adoption strategy, how you're trying to fuel that? And then, ultimately, when you get to monetization for PagerDuty Advance, what potential pricing uplift or ARPU uplift do you anticipate when Incident Management customers and Customer Service customers take on the advanced capabilities?
Jennifer Tejada: Sure. So, as a reminder, like we have been deploying machine learning and AI in our platform for many years, not the least of which in AIOps, which has been a continued sort of new product strength for our business and also a differentiator for the Operations Cloud. And that is built on a proprietary data model that creates a pretty significant moat for us in terms of our platform's ability to make recommendations to leverage now generative AI chat capabilities for us to seed features across the platform. So, it can be simple things like asking the platform when an incident starts, what's changed, right, where, historically, that would take many, many minutes, maybe several hours to figure out. The platform can service that almost immediately. And as you know, in incident response, time really is money. So, I think when we think about the opportunities in generative AI, it's to continue to land AIOps and attach it to our core Incident Management customers, to start to drive usage across the entire platform through these generative AI features that simply reduce the time associated with triaging and resolving an incident, but also reduce the number of people that need to be involved in that incident itself. And then, probably the single biggest opportunity as it relates to generative AI is the core Operations Cloud use case for AI operations within a customer. Our customers are deploying LLMs. They're deploying their own RAG models. We're starting to see the launch of agentic AI and agents in use in the customer. And all of those initiatives create risk. They have operational risks associated with them. That technology needs to be monitored and needs to be managed, and it's proliferating at a much faster scale than traditional software. And so, the use case around our customers' use of agentic and generative AI, I think, represents a growth opportunity on the core Operations Cloud. And that, I think, over time, will give us both a strong competitive positioning because of all the things we do across the multiproduct platform, but also some pricing power through that differentiation in those use cases.
Howard Wilson: Yeah. And Sanjit, maybe I can just follow on the specific area that you covered around our generative AI and the model that we're using there. So, the -- when we moved this to general availability a few months back, we allowed customers on certain plans the option to opt in to the generative AI to PD Advance. And the motion that we have is that they start off with a certain amount of free credits, if you like, that allow them to get started and actually try out the capabilities. And we've had a really good response from customers on that, and that's led to then customers actually contracting with us. We had our first customers this quarter. We've actually contracted to be able to have the ongoing use beyond that free allocation, if you like. And at this stage, because it's not linked only to Incident Management, but really is across the platform, means that someone who is using the Operations Cloud across Automation, across AIOps and Incident Management, they have access to a capability that responds relative to the platform that they're using. So, we have priced that independently and not as a factor of the products that they have.
Sanjit Singh: Understood. Thank you, Howard.
Jennifer Tejada: Thank you.
Howard Wilson: Thanks, Sanjit.
Operator: Thank you. And next, we're going to hear from Rob Oliver with Baird. Go ahead, Rob.
Rob Oliver: Hi, good afternoon. Can you guys hear me okay?
Jennifer Tejada: Yeah.
Howard Wilson: Yeah. Hi, Rob.
Rob Oliver: Hey, Jenn. Hi, Howard. Nice to see you both. Thanks for your time. A couple for me. One, Jenn, just on the top -- the large enterprise customer conversions, which you called out, I think, as Sanjit alluded to earlier also, not uncommon right now. We're hearing salespeople need to be experts in procurement, in legal, in all of these things, and it's really challenging. I was just wondering if there's any commonalities or anything you can call out, particularly when juxtaposed with like, say, for example, the Forrester ROI study, which is like the top thing we hear in these deals is like the ROI having to be absolutely crystal clear. So, any color around kind of what you're hearing around those deals, and perhaps why they were pushed would be helpful? And then, I had a follow-up for Howard.
Jennifer Tejada: Yeah. I think in this kind of market environment, I think, Rob, you're right. You almost have to plan for perfection, and nobody's perfect. But I would tell you that, from a proof of value perspective, we get very strong feedback there. And then, it's the process of helping our economic buyer or executive sponsor through their own process and making sure that we get through every hurdle, have a reconversation, et cetera. And as I said, that we've been performing pretty consistently there over the last several quarters. And in fact, when I look at like our large customer cohorts, our customers that spend over $500,000 with us grew 20% in the quarter. And even the number of transactions that we did this quarter over $100,000 still very consistent. So, we're getting those larger deals done. It was just the largest of the large, some of them just pushed out into the future. Having said that, we've gotten very good feedback about competitive positioning, about AIOps, Customer Service Ops and new features around generative AI, which people are really excited about. And they go beyond, what I would call, user delighters to really significant time savers in the incident response process. Having said that, we're going to continue to push for improvement around, one, pipeline generation. So, we come into the quarter with very strong pipeline. We're coming into Q4 with the strongest pipeline I've seen in many, many quarters. Two, also just managing that pipeline very rigorously to make sure that we are in a strong position to close when we commit these deals to be closed. And then the last is, I'm personally spending a lot of time on executive sponsorship. We put a new executive sponsor program into place, so that we have more than just the sales team engaged in these deals. We've got our -- really, our whole executive team has got their hands in different relationships across our customers and prospects to try and make sure we can anticipate any new challenges that may crop up during the purchase process.
Rob Oliver: Great. That's helpful. Yeah, and good color on the executive sponsorship program as well. I appreciate that. Howard, just a follow-up and corollary to that, I mean, nice beat on the quarter. And I think you guys have been -- no issue at all with prudence. You guys, I think, had an opportunity for that full year range to maybe come up a little bit. It came up at the low end, but it sort of tightened. Just wanted to understand maybe some of the puts and takes there. Again, totally fine with it. I just wanted to understand, like is there any anticipation of perhaps those deals, to which Jenn and I were just talking about, maybe moving to FY '26 and some more conservatism around that, or how should we think about that? Thank you.
Howard Wilson: Yeah. So, I guess, Rob, I've -- my approach is really to try and take a prudent view on this because, obviously, within -- in this environment, we're wanting to make sure that we are able to put out numbers that we have high confidence behind them. So, we have taken into account both the -- if you like, the deals that we already have from a subscription perspective. Some of our variability comes in from our month-to-month transactions and from our Professional Services business based on delivery. So, over this quarter, we had to look at, given the holiday period, what be the delivery sequence or what can actually be done in the period. And then, we have another variable around sometimes our process automation, the self-managed deals can create like a variation in the revenue. So, when I take all of those factors into account, it gives me a range where we were glad that, for the full year, we were able to pass some of that beat on to move the midpoint up, but we're looking at Q4 with that same prudent lens.
Rob Oliver: Great. Okay. Thanks, guys. I appreciate it. Jenn, good luck...
Howard Wilson: Thank, Rob.
Jennifer Tejada: Nice to see you.
Rob Oliver: Yeah, nice seeing you.
Operator: Thank you, team. Next, we're going to hear from Koji Ikeda from Bank of America.
Koji Ikeda: Hey, Jennifer. Hey, Howard. Thanks for taking the questions.
Howard Wilson: Hey, Koji.
Koji Ikeda: Hi. Great to see you. A couple of questions from me.
Jennifer Tejada: Hi, Koji.
Koji Ikeda: Hi, Jennifer. I wanted to dig in a little bit more here on the deal deferrals in the fact that it gets me a little bit worried when I think about deferred deals and the compounding effect if it doesn't get back to some sort of normalized closure level. And so, what's kind of giving you that confidence that the deal deferrals that you're seeing today, you're going to be able to get back to closing them sometime in the next, I don't know, months or quarters or whatever it may be?
Jennifer Tejada: Well, we've already closed some of them. And I would also say that what -- like this is something that we have done consistently well over the past many quarters. And like I said, our transactions above $100,000 were very strong. So, it's just some of our largest deals that just took a lot longer than we had potentially anticipated or have been broken apart into multiple transactions over a short period of time. And so, we're really -- as we've said in the past, we are trying to demonstrate to our customers flexibility to do business the way they are able to do business right now and to play the long game in terms of the relationship. The other thing that I would say is, even in the backdrop of what has been a pretty challenging macro over the last several quarters, we've been improving our execution on multi-year. Multi-product deals, which demonstrate our ability to engage customers in a multi-year long-term relationship, which gives us more opportunity to cross-sell and up-sell through the period. And so, even while some of those larger deals didn't close in this period, we saw a number of solid six-figure expansions with large customers, who have expanded many times over the past couple of years. So, if you remember, like our business in the past has grown well through a volume of expansions, not just lumpy large deals. And that core Enterprise business still is performing well and in a pretty disciplined way. In terms of opportunities for improvement, we are going to continue to focus on rigor around pipeline management. I mentioned our executive sponsor program. We're also looking at how we can ramp our capacity more efficiently and more effectively through a combination of enablement in improving or upgrading management. We have a number of new theater leaders that have now been in seat for a couple of quarters and have ramped themselves. And so, I have a lot of confidence in the team's ability to convert the pipeline that we have in front of, which, as I said, is very strong this quarter.
Koji Ikeda: Got it.
Howard Wilson: And I would just jump in and add to that. Koji, we've made a number of investments in terms of sales leadership this last year. We have a new theater lead in the last kind of six months for EMEA, for North America and for the public sector. And we've hired strong enterprise leaders, and they're certainly making a difference in terms of helping build sales capability. And when I just look at the pipeline numbers, for example, for Q1 for next year, the pipeline, as we go into Q1 for next year, is almost 50% higher than what it was at the start of Q1 last year. So, building that pipeline into future quarters at a high value, that's what gives us greater certainty on the ability to execute against those larger deals.
Koji Ikeda: Got it. Now that's a nice data point on the pipeline. And so a follow-up question here is on your target operating model, maybe for Jennifer or Howard, whoever wants to take it. I'm looking at the slide in the deck, and you guys are essentially at your target operating model. And so, I am a believer in the TAM that you guys are addressing. I do, do believe there's the potential here for you guys to accelerate growth here sometime over the medium term. And so, how do you think about kind of balancing being at the target operating model with this growth opportunity ahead of you? Are we essentially at peak margins for a while and incremental upside could be invested into growth, or I guess how do we think about that balance?
Jennifer Tejada: Why don't I start by just saying I'm encouraged by the stabilization across all segments. Remember that our business, you can kind of split our business up into two segments. Enterprise, which has been -- where we've gone through a pretty significant transition in the enterprise with the backdrop of a tough micro, but we now have, I think, a really strong narrative around the Operations Cloud. Solution selling is now our standard way of going to market. And we've refined our rep profile, so that, from a strategic selling perspective, I think we're executing better than we have in the past. And we start -- we're seeing that prove itself out through really strong competitive win rates. At the same time, we believe in continuing to improve how quickly we can ramp our capacity and how efficiently we can ramp that capacity. So, we intend to be a profitable growth business and we're focused on reacceleration, but as you know, we also are always looking for opportunities to drive more efficiency across the business. In Commercial, we're starting to see, I think, that stabilization of the commercial space, better retention rates and even a return to growth in the small end of the business. And so, those give us optimism around our ability to reaccelerate growth into next year, but also continue to manage operating margins effectively. And Howard, I'll let you add there.
Howard Wilson: Yeah. So, I think, just to build on what Jenn said, Koji, we see that the market opportunity is still strong, and we see the opportunity to reaccelerate growth. And so, when I think about our long-term model, we certainly are getting close to that operating margin on an annual basis. And so, we would continue to look at how do we balance growth with profitability. We want to continue to make progress in terms of expanding our operating margins even into next year, but not at the expense of being able to feed the growth. So, even through this year in what has been a tougher economic environment, we continue to invest in sales and invest in capacity because we have confidence in the ability to, in fact, go after more business in the market.
Koji Ikeda: Thank you. Thanks so much.
Jennifer Tejada: Thanks, Koju.
Howard Wilson: Thanks, Koju.
Operator: Wonderful. Next, we'll hear from Jeff Van Rhee at Craig-Hallum. Jeff, please go ahead.
Jeff Van Rhee: Great. Thanks. I'll add my congrats, and thanks for taking the questions. You called out EMEA as being a bright spot. Would you call that out as really macro-driven sales execution? Talk a bit more about what's going on and what's driving the improvement.
Jennifer Tejada: Now, we have a new leader in the EMEA theater, and he's really brought a lot of rigor and a real focus on pipeline generation and standardizing our go-to-market motion there in a way that is demonstrating results across segments in the market. And I do think that the macro is easing as well. And so, those two things together, good execution and potentially an easy macro across both large Enterprise and the Commercial segments. It's really the first time we've said in several quarters that we're excited about EMEA. So...
Jeff Van Rhee: That's great to hear. Yeah, no doubt. And sort of along those lines, I think last quarter, you gave an early glimpse into '26. I think you said ARR and billings growth of over 10%. I think, Howard, you just commented a little bit about margins. Any other color, even at the fringes, you'd be willing to share about how we should be thinking about '26 at this point?
Howard Wilson: Yeah. Over and above what we've shared, our philosophy is really to think about how do we increase our growth rate above 10% into next year, but also continuing to expand operating margins. Obviously, the timing of the ARR growth acceleration is a little bit variable, and we haven't given any fixed timeline on that piece, but those are certainly the parameters to think about. We're exiting this year at 10% ARR growth. Just a reminder, of course, whilst our business is mainly subscription, we do have a portion that's been growing around services as we deliver more professional services into our customer base that are longer-term services as opposed to short-term technical services, but that sort of will help you frame the complexion of how that revenue could fall out.
Jeff Van Rhee: Okay. All right. Then just last for me. On the Commercial side, when you look at the potential drivers for that business, I mean, are we talking heavily, heavily weighted to employment in the tech sector? How do we think about drivers to accelerating that to growth? And how much you can control versus how much is waiting for employment to improve?
Jennifer Tejada: Yeah. We're not waiting for employment to improve. We're really just looking at the leading indicators in the Commercial segment, where we're seeing better retention. And customers that are demonstrating, they see clear benefit from our value proposition around our -- some of the additions we've made to the Incident Management product, including adding Jeli, our postmortem automation and sort of chat experience to what we do. I mean parts of that market, particularly VSB and SMB, can be very price-sensitive and are the most exposed to capital constraints, but it's really nice to see that, that environment is stabilizing. And where we have sales assist motions in Commercial, we're actually seeing very strong competitive win rates, which is nice to see as well. So, we see a lot -- any business that's digital, you can find from a vertical standpoint in the mid-market segment. We're not completely focused on tech there. That would be more true in the smaller segment, like in our very small startups. The other thing that I would add is we see strength in subsegments like native generative AI startups, which are very well funded in crypto, which is another space that's doing well, online travel and hospitality, e-commerce, et cetera. So even within the Commercial segment, we have quite a lot of vertical diversity and not a ton of customer concentration there.
Jeff Van Rhee: Helpful. Great. I'll leave it there. Thank you.
Howard Wilson: One thing I would add, Jeff, is that when we look at our product portfolio across the Operations Cloud, we're now getting a little bit of a balance in terms of not everything is user base, but we have products that are on a consumption basis, and that applies even in the Commercial segment. So that does remove some of the direct relationship to user base or employment growth.
Jeff Van Rhee: Yeah. Got it. Thanks so much.
Howard Wilson: Thank you.
Jennifer Tejada: Thank you.
Operator: Thank you. [Operator Instructions] Next, we're turning to Andrew Sherman with TD Cowen. Go ahead, Andrew.
Andrew Sherman: Great. Thanks. Good to see you. Congrats in the quarter. The 40% of net new ARR from the new products was a strong, healthy number. Maybe rank order which products within that and kind of what's driving the strength behind those? And should we expect to see attach rates continue to increase? And can that help deals get bigger even as they're working through the pipeline?
Jennifer Tejada: Well, I'll start with, yes, that can help deals get bigger even as they're working through the pipeline. And a lot of the expansions that we're seeing, we're seeing multiple new product adds along with services. And so, keeping -- paying close attention to attach rates within our existing base and how not just at renewal, but throughout the course of the contract, we find opportunities to seed new products is really important part of the way the team is executing. I think I mentioned in prepared remarks that one of the frameworks we're applying from a go-to-market standpoint is really teaching and enabling the sales force to talk to customers about initiatives that we know they have funded, initiatives like incident management transformation or standardizing their automation practices. These are -- or modernizing their op centers. These are all things that we know our CIOs, particularly in enterprise and mid-market, have budget attached to. So, we can go in and say, let us show you how we can help you do that, and AIOps is a big part of that. Automation is about bringing together the islands of different types of automation tools you have across the business. And Customer Service Ops is about making sure that as you are improving the way you operate your customer-facing agents, meaning people, or agents, meaning agentic, have the ability to pass along information, either back to teams that are solving for instance or to customers trying to understand the status of incidents. And in all these products, we're seeding some of our generative AI features as well, which, I think, is driving curiosity and trial and some user engagement as well.
Andrew Sherman: That's great. And Howard, great to hear the Enterprise NRR is 10 points higher. Does that include mid-market or not as well? And SMB was 16% of ARR last Q4. It's obviously lower now, but when does that SMB drag drop out of the model enough such that your NRR can flow back up?
Howard Wilson: Yeah. So, when we were speaking about the Enterprise, the dollar-based net retention was really companies with revenues above $500 million. So it's a little bit of an expansion of how we've previously spoken about the Enterprise because our sales team is now focused on those companies so when we think about Enterprise. So, great to see. And so that would incorporate what we've previously seen as being the upper end of mid-market. On the -- if I had to look at the Commercial segment, which includes SMB, we're starting to see that SMB from this quarter. You know that we had like four quarters of negative growth year-over-year. That's now been flattening out quarter-over-quarter. So, we're getting to a point where the headwind from that is being reduced. So that puts us in a good place in terms of being able to leverage the strength in the Enterprise and then see Commercial starting to grow again. That will certainly help the overall growth rate.
Andrew Sherman: Okay. Thank you.
Howard Wilson: Thanks, Andrew.
Jennifer Tejada: Thank you.
Operator: Thank you. Next, we'll hear from Jacob Roberge with William Blair. Jacob, please go ahead.
Jacob Zerbib: Hi, guys. This is Jacob Zerbib on for Jake Roberge. Thank you for taking my questions. I just wanted to touch on the competitive dynamics here with Datadog's solution being on the market for a little bit. I'm sure you've heard about that. And they are your customers, so we know that. But you just have you seen them more? And any color on win rates here would be helpful.
Jennifer Tejada: Yeah. Thanks for the question, Jacob. I appreciate it. Look, it's a big and early market. It's not a zero-sum game. And we're confident in our strength in Enterprise, where our customers value the fact that we're neutral and independent, that we ingest signals from all observability providers, cloud and hyperscalers, ticketing systems, et cetera, and that we can provide them with an independent view of what's happening in their organization, regardless of who they choose to invest in from a monitoring standpoint. We've also demonstrated our ability to be resilient at scale, even with the largest, most challenging enterprises in the world. And that matters when you're counting on a platform for instant management when things are not working. And that has proven to be a difficult moat for others who have tried to come into the space to cross. We also benefit from 15 years of data that is now part of our foundational data model, where we've embedded machine learning and AI. And frankly, I'm spending a lot of time with customers in the field. I'm not hearing a lot about it. I do think that some of the work that we've done around multiyear commitments and multiproduct sort of long-term relationship building with our customers also puts us in a good stead. Now that doesn't mean there won't be customers who are price-sensitive. That's always the case, but even the lower end of the market, from a Commercial perspective, seems to be stabilizing, and we're encouraged by the competitive win rates that we see there. So, I always live by the saying, only the paranoid survive, but I've also been through this multiple times with players coming into the market. And I think we have demonstrated by proving that we are resilient, secure and deliver high-fidelity automation at scale, and that is really important to our customers in the use cases they leverage us for.
Jacob Zerbib: Got it. That's it for me. Thank you.
Jennifer Tejada: Thank you.
Operator: Wonderful. Turning next to Nick Altmann with Scotiabank. Nick, please unmute and go ahead.
Howard Wilson: Hi, Nick.
Nick Altmann: Hey, how are you guys?
Howard Wilson: Yeah, good. Thanks.
Nick Altmann: Great. Thanks for taking the question. Jenn, you've kind of talked in the past about how you guys are focused on controlling what you can control. The margins have obviously improved a lot. And you guys have also kind of talked about, regardless of the macro environment, ARR reacceleration is still on your site. And so, my question kind of builds off of Koji's, but when you think about the growth versus margin trade-off, what would kind of cause you, or what are the kind of signals that you could potentially see that would make you guys sort of reinvest in product or go to market to maybe drive a sharper degree of reacceleration?
Jennifer Tejada: Yeah. I mean, I'm always watching our time to ramp capacity. I'm watching sales productivity very carefully. We're looking for longer contract duration, which we've seen a lot of improvement on, but also keeping an eye on sales cycle time. And just a reminder, like we've made very significant investments in new products and still have a lot on the truck to monetize in terms of attaching to customers that are very happy with their initial incident response investment, but opportunity to do more. And I think AIOps, Customer Service Ops, Automation all represent great opportunities to be growth drivers for us. And equally, I think generative AI is something that users are getting more accustomed to. And we're getting a lot of great feedback about the ability to do things like just ask PagerDuty in a simple chat environment, like what changed, who's impacted, where, historically, that would have been a treasure hunt involving five or six or ten people, sometimes many more, on a live call. So, as we automate more and more of that, I think it makes the product more interesting and sticky across different use cases and across different functions. I'd love to invest behind improving sales productivity, shorter ramp and shorter sales cycles. And those are some of the leading indicators that I'm looking for, but I'm also encouraged by the stabilization across all of our segments. I am -- I think that the stabilization that we've seen forms a very strong foundation for growth reacceleration, particularly in upper mid-market and enterprise. And we're going to continue to focus on the developer experience. So, I'd love to be investing more in growth, but I want to make sure that we're executing well and utilizing that capital very wisely.
Nick Altmann: Awesome. Thanks. And then the large deals sort of pushing or taking longer to close, that makes a lot of sense. When you think about sort of the ACV expansion within those deals, I know you had sort of mentioned that a couple had already closed, any sense as to kind of how that expansion rate for some of these larger transactions kind of looks relative to just large deals in general?
Jennifer Tejada: Sorry, I lost the end of your question, Nick. I heard you ask something about the expansion rate.
Howard Wilson: Jenn, connection seems to have got a little bit shaky. Sorry, Nick, do you want to just repeat that again? We lost you for a moment.
Nick Altmann: Yeah. So, my question was around these large deals that are getting pushed, right, it makes sense, maybe there's more products in longer-duration contracts. When you think about just like the ACV expansion of those deals, can you just maybe talk high level kind of the makeup of that and how that kind of looks relative to the NRR metric or even just kind of large deals in general?
Howard Wilson: Yeah. I mean, I'll take a crack at that first, Jenn, and then feel free to jump in. There isn't one single formula that describes what those ACV deals look like because the nature of where the customers coming from can often be quite different. We obviously have a large population of our Enterprise customers who started with us in Incident Management. And as they expand into things like AIOps and into automation, sometimes the value of those products can exceed what they're spending on Incident Management. Then, we have other customers who maybe have landed with us originally in the Automation segment and then they move on to Incident Management and AIOps. And in that case, their initial investment in Automation ends up being smaller than the investment that they make in the others. But what we have found is that the overarching theme is that, as customers adopt more of the Operations Cloud, they certainly get far more value from PagerDuty. And one of the most recent studies that we referenced is the total economic impact report from Forrester, which looked at Enterprise customers and showed a 250% return on investment over three years, with a payback period less than 12 months. Those customers who are doing this effectively multiproduct adoption are seeing a lot more value. It's far more transformational for them, and that tends to make those customers far more retentive because they're seeing the value. So, for us, getting them onto the multiproduct and often multiyear is an important part of our sales motion.
Nick Altmann: Awesome. Thank you.
Howard Wilson: Thanks, Nick.
Jennifer Tejada: Thank you.
Operator: Okay. We have a couple more hands raised still. Mr. Miller Jump over at Truist coming up next. Let me bring you on. Go ahead.
Howard Wilson: Hey, Miller.
Miller Jump: Hey, thank you for taking the question. Filling in for Joel Fishbein tonight. So, I guess, I just wanted to double click on the pipeline commentary that you all have given a couple of times on this call. It's great to hear all the commentary around the volume that you're calling out in the quarters ahead. But I guess, I'm just trying to understand, like where are we versus maybe a year ago in terms of visibility? And then, is that volume really attributed to like just more of these really large deals, or is there something different about the deal composition as well?
Howard Wilson: Yeah. So, compared to where we were a year ago, our visibility, it's almost like night and day in terms of the improvement of visibility. We -- if I look back to last year this time, we probably had visibility for Q4 and part of Q1, whereas now we have a pipeline that stretches out into Q3 of next year. We're also seeing that we're in a position now the pipeline is building so that as these deals are being managed through their life cycle, we're getting better visibility into what's available for us in Q1 and Q2 of next year. And that, again, puts us in a different position in terms of how do we mature those deals, how do we manage those deals. We're still seeing a good mix of deals across our pipeline because there's still a good volume of deals $50,000 to $100,000 that we're doing, and deals below $50,000. But the sales team tends to focus more of their energy on the larger deals, particularly above $500,000 because those are the ones that end up being the broader deals covering more of the product and where we are demonstrating a lot more value. So certainly, it's been a significant shift for us to move into more of an enterprise selling motion. Along with that comes some of the enterprise seasonality that you have to deal with. And also, a different level of engagement from the customer, it ends up being far more multi-threaded. We have to be focused a lot more on the solutions that we bring to customers' problems as opposed to just showcasing our amazing product. So, those are some of the things. But the pipeline quality is certainly improving, and our ability to manage that pipeline with that longer visibility is certainly giving us greater confidence.
Miller Jump: Understood. And I'm actually -- I'm going to come back to you for one more, Howard. I know you all don't manage to it, but I was just curious if you could talk about any changes you're seeing in contract terms as it maybe relates to billings, just given we're seeing a little bit lower billings growth than revenue. And I would have expected almost the inverse given the monthly contingent is actually becoming less significant over time.
Howard Wilson: Yeah. So, our billings is always a little bit tricky in terms of the fact that we sometimes get the benefit of customers doing multiyear arrangements with us, both on renewal and new, but we also have a practice where customers are -- when they expand with us, we co-term typically to the anniversary date. So, you can sometimes end up with a quarter where you have a high number of co-terms, where the ARR growth rate is higher because it's actually they're committing in terms of on annual recurring revenue, but it might be a four-month or six-month contract to align with their renewal. So that creates the fluctuations in the billings, which is part of why we moved to giving our ARR number because the kind of having to triangulate between all the different factors that can complicate our billings was -- is tricky to navigate for folks.
Miller Jump: Thank you.
Jennifer Tejada: Thank you.
Howard Wilson: Thanks, Miller.
Operator: Okay, folks, we have one more hand raised, Simran Biswal. If you can go ahead and unmute?
Simran Biswal: Hi, guys. Can you hear me?
Jennifer Tejada: Yes, we can hear you. Hi, Simran.
Howard Wilson: Hi, Simran.
Simran Biswal: Hey. This is Simran for Matt Hedberg. Congrats on the quarter, and thanks for the question. I just wanted to double-click a little bit more on fourth quarter. First, how have trends been so far a few weeks into November? And then, generally speaking, how does linearity within Q4 look like? And is there some risk that some of these larger deals with more engagement gets pushed into next year? And just around at what assumptions you've built into pipeline conversions?
Howard Wilson: Yeah, sure. So, Simran, when we think about linearity in the quarter, we have moved over the years from a company that was previously high-velocity, high-volume transactions with relatively less-distinct in-quarter linearity. As we've shifted to the Enterprise, we've certainly seen far more of the -- or a shift in that linearity, where you end up with more of your business happening in the end of the quarter. We have a lot of systems and processes in place now to try and balance that out. So, our goal is to try and ensure that we're doing, call it, roughly half within the first two months of the quarter. Not all quarters will be equal, but we have set ourselves a goal and put in place certain processes to help us move towards that goal. We're not expecting unusual linearity in Q4, but we do find that the holiday periods do tend to mess with a regular linearity. So, November ends up being a little bit more challenging for North America in terms of the holiday period, but it's fine for Europe, for example. So, this is a bit of an unusual quarter with respect to that, but we're not expecting anything too unusual, but normally, the third month is the biggest month for us.
Simran Biswal: Okay. Great. And just one more. When we think about the large deals, how does that customer journey typically look like? And what -- how long is the engagement generally for these customers?
Jennifer Tejada: Yeah, it really varies because it's rare that we would land a seven-figure customer. It does happen, has happened, but it's rare. It's generally usually the case that we land on a smaller basis and then grow through expansion over time. One of the things that I think has changed through our strategy to really focus on solution selling, the Operations Cloud and the Enterprise against some of these, what I would call, funded solution areas that CIOs and CTOs have, is that we're starting with a conversation about all of our products and services and how they can support initiatives that the customer already has underway as opposed to starting with one product and then trying to add products on top of it. And that means that we go as fast as the customer can go. In some cases, the CTO will move really fast. They've already chosen us as a standard and they're replatforming, and they want an integrated platform. And they don't have to jump through a lot of hoops, in other cases, and that sometimes happens in the tech industry, for instance. In other cases, in a more highly regulated environment, like financial services or federal, like it can take a lot longer. So, there -- so I wouldn't say there's like sort of one way that happens, but I do think that through doing a better job of attaching services to our deals, it gives us better visibility to what customers are looking at, starting to work more effectively with systems integrators and having them support us in conversations around large transformation initiatives helps. And multiyear agreements gives us the opportunity to grow and co-term within the period -- the contract period, which also creates growth over the period that we have an engagement with the customer.
Simran Biswal: Great. Thanks, guys. Congrats again.
Howard Wilson: Thanks, Simran.
Jennifer Tejada: Thank you.
Operator: Okay, team. Thank you. That is all the hands that we have raised today. Jennifer, we'll turn it to you for any final remarks.
Jennifer Tejada: Well, as the hour turns, I just would like to thank everybody for joining us today. We are both optimistic and confident that the stabilization that we're seeing builds a solid foundation, a strong foundation for growth reacceleration. I'm grateful to spend this last hour with you and wish you all in North America a happy Thanksgiving, and the rest of you a happy holiday period over the next couple of months. Thanks.